Operator: Good morning, ladies and gentlemen. Welcome to the RBC 2013 Third Quarter Results Conference Call. Please be advised that this call is being recorded. I would now like to turn the meeting over to Ms. Karen McCarthy, Director of Investor Relations. Please go ahead.
Karen E. McCarthy: Good morning, and thank you for joining us. Presenting to you this morning are Gord Nixon, President and CEO; Morten Friis, Chief Risk Officer; and Janice Fukakusa, Chief Administrative Officer and CFO. Following their comments, we will open the call for questions from analysts. This call will be approximately 1 hour long and will end just before 8:30 a.m. [Operator Instructions] We'll be posting management's remarks on our website shortly after the call. Joining us for your questions are George Lewis, Group Head, Wealth Management and Insurance; Doug McGregor, Chairman and Co-CEO Capital Markets and Co-Head of Investor & Treasury Services; Dave McKay, Group Head, Personal & Commercial Banking; Mark Standish, President and Co-CEO Capital Markets and Co-Head of Investor & Treasury Services; and Zabeen Hirji, Chief Human Resources Officer. As noted on Slide 2, our comments may contain forward-looking statements, which involve applying assumptions and have inherent risks and uncertainties. Actual results could differ materially from these statements. I will now turn the call over to Gord Nixon.
Gordon M. Nixon: Thank you, Karen, and good morning, everyone. I'm pleased to announce today that RBC earned $2.3 billion or $1.52 earnings per share in the quarter, which were record results. And after excluding specified items, our earnings were up 12% from a year ago and 13% from last quarter. Our results were underpinned by strong fundamentals and record earnings in Personal & Commercial Banking and Wealth Management. We also saw continued strength across most of our other businesses, particularly in Investor & Treasury Services. Year-to-date, RBC has earned $6.3 billion, delivering a strong return on equity of 20% and earnings per share growth of over 12%. And our all-in Common Equity Tier 1 ratio remains strong at 9.2%, which gives us the flexibility to deploy capital as we strive to optimize balance between investing in our business for long-term growth and returning capital to our shareholders. I'm also pleased to report that we announced a $0.04 or 6% increase to our dividend, bringing the quarterly dividend to 67% -- $0.67 a share. Our increase of $0.04 a share, which is slightly higher than the most recent increases, reflects the confidence we have in our ability to continue to generate solid earnings growth and successfully execute on our disciplined growth strategy by leveraging our strength, scale and strong capital position. We are on track to meet or exceed our 2013 financial objectives, and this is our fifth dividend increase in 9 quarters, representing a 34% increase. Let me now turn to our business segments. Personal & Commercial Banking had a record quarter with earnings of $1.2 billion. In Canadian Banking, given our size, scale, superior breadth of products and our ability to provide advice to clients when and where they need it most, we continue to generate solid volume growth across all of our businesses and take a disproportionate share of industry growth while profitably gaining market share. For example, we increased our personal deposit market share by over 60 basis points since May of last year and saw market share gains in all other personal and business product categories during the same period, further expanding our leading positions. We also continue to extend our sales power by developing innovative solutions and new partnerships that will enhance the client experience and provide greater value, flexibility and convenience. Just last month, we introduced the first cloud-based mobile payment solution in Canada, which will allow our clients to more safely and securely pay for purchases using their mobile devices. We remain focused on continuing to grow our volumes at a 25% premium to the market. However, we will not do so at the expense of profitability. We continue to see good market opportunities and are excited about the potential growth, particularly from our cards business. We also remain committed to controlling costs and driving efficiencies to the low 40s, our objectives, and have a number of initiatives underway to continue to manage this trajectory of expenses in the context of the revenue growth environment we are in. In Caribbean banking, while the economic conditions remained weak, we continue to see stabilization in credit quality and improved performance. Turning to Wealth Management. We continue to have great momentum across all of our businesses, which resulted in record earnings this quarter. We were able to grow our average fee-based client assets by capitalizing on the improvement of global markets and generated strong transaction volumes. We have grown our assets under care by nearly 12% over the past year. In Global Asset Management, we continue to be the leader in long-term fund sales in Canada, having captured 20% of the market over the last 12 months and delivered the highest pretax margins in the industry. For Wealth Management, we continue to extend our #1 position in Canada with leading fee-based assets, adviser productivity and profitability. For example, our revenue per adviser exceeds the Canadian industry average by 45% according to Investor Economics. In the U.S., we continue to shift from a transaction base to a fee-based model and have grown our average fee-based client assets by 10% from a year ago. We are also pleased to report that for the second year, we have partnered with Capgemini to produce the World Wealth Report, an industry-leading benchmark that brings trends and insights to high and ultra-high net worth individuals and strengthens our brand and reputation worldwide. Moving to Insurance. We work closely to support our clients through the weather-related events that occurred this quarter. While the claims did have an impact, which Janet will speak to, they were not material to our business given the claims mitigation process. This business continues to make consistent contributions to our diversified earnings stream. In Investor & Treasury Services, we saw improved business performance in Investor Services as a result of higher revenue and continued benefits from our ongoing focus on cost management activities. Since our acquisition just over a year ago, we have made significant progress in integrating our Investor Services businesses into RBC. We have been successfully positioning the business to adapt to the operating environment, and we continue to improve our efficiency and streamline our operations. The initial phase of our integration is almost complete, and our management group is delivering on their objectives. And we are extremely excited about the opportunities in this business. We are leveraging the RBC brand, reputation and financial strength to win new clients and business. As a testament to our long-standing ongoing commitment to providing clients with market-leading innovative solutions, we were recently ranked #1 overall in this year's Global Investor/ISF FX survey. Moving to Capital Markets. Our earnings this quarter were flat over last quarter and down 10% from a year ago. The announcement by the U.S. Federal Reserve in June that the current U.S. quantitative easing program will be coming to an end, as you remember, marks -- sparked significant market volatility and the widening of credit spreads. Consequently, our fixed income trading business, mainly our U.S. muni trading and agency mortgage business was particularly weak this quarter, and it was the most impacted by this announcement. As a reminder, when we realigned our segments last fall, a portion of our trading business was also transferred to Investor & Treasury Services. Market conditions today appear moderately better than they were in the latter part of the quarter, and we believe our fixed income trading revenue will improve in the near term. Having said that, we are readjusting our business to reflect some of the structural changes in fixed income. As you're probably aware, in Europe we have realigned our business, including exiting from European government bond trading business, to strengthen our operations and to position ourselves for better earnings and growth over the long term. In light of these market changes, we remain focused on our origination-led and client-based lending and fee-based activities in our target sectors and geographies as we seek to further diversify our revenue stream, and we did see continued solid growth in the corporate sector this quarter, particularly in the U.S. Investment banking revenue was lower this quarter compared to the strong levels we saw last quarter, but fee-based revenue can fluctuate depending on deal timing. With the investments we have made and continue to make in our people, products and sectors, we have a healthy deal pipeline, especially in North America. Our pipeline includes our role in the financing of the $24 billion U.S. Dell private transaction. We are acting as an adviser to Shoppers Drug Mart and are participating in the financing for the sale to Loblaw's, a $13.8 billion transaction, which is expected to close in early 2014. And we are advising and providing financing to Hudson's Bay for their $2.9 billion acquisition of Saks, just to name a few. While there are some fluctuations in our Capital Markets results from quarter-to-quarter, we have earned over $1.2 billion to date, which represents a 6% increase compared to the same period last year, and we remain optimistic that we will deliver on our 2013 objectives. To conclude, our record results this quarter demonstrate the earnings power of RBC driven by our leadership position, diversified business mix and strong capital position. Our revenue and business mix, outlined on Slide 4, is consistent with our strategy and objectives, and our diversification provides a good balance from both an earnings and risk perspective. We believe RBC remains extremely well positioned, giving us the flexibility to continue to execute our long-term strategy as we deliver against our objectives. With that, I'll turn it over to Mort.
Morten N. Friis: Thank you, Gord. Turning to credit, starting on Slide 7. Overall, provisions for credit losses on impaired loans were $267 million or 26 basis points this quarter, down $21 million or 3 basis points from last quarter. Since the beginning of 2013, credit quality has generally improved, reflecting stabilizing asset quality. Let's look at our credit performance in more detail. In Canadian Banking, provisions were $213 million, down $21 million over last quarter or 4 basis points. The decrease was driven by the recovery of a single commercial account, low loss rates and a reduction in impaired business loans. Underlying credit trends in the business loan portfolio remain stable quarter-over-quarter. Our provisions this year have been trending at historically low levels and were 25 basis points this quarter, reflecting very strong credit performance across a number of products, including our cards and business portfolios. Provisions for our residential mortgage portfolio were consistent with our historical performance at 1 basis point. Turning to the Caribbean. Provisions were $13 million, down from the prior quarter as credit quality continued to improve. This quarter, we incurred a $10 million provision in Wealth Management related to a single account. Over the past 3 years, the Wealth Management credit book has grown by 22% compounded growth rate to over $15 billion as it forms part of this segment's growth strategy. While we do anticipate incurring some provisions from time-to-time as this portfolio continues to grow, we remain comfortable with its overall credit quality. With respect to Capital Markets, provisions were $28 million or 20 basis points down, $12 million or 11 basis points over the last quarter. We remain comfortable with the overall quality of the wholesale loan book. Turning to market risk. Average market risk VaR was $45 million, and average market risk stressed VaR was $105 million, up $28 million compared to last quarter. The increase in stressed VaR reflects higher measured risk in mortgage-backed securities, partly due to a change in methodology, which more accurately reflects the price behavior of mortgage-backed securities during the financial crisis of 2008-2009, as this is the historical period used for stressed VaR. During the quarter, we had 4 days with net trading losses totaling $10 million, none of which exceeded VaR. The largest loss of $5 million was mainly driven by the tightening of our credit spreads. With that, I'll turn the presentation over to Janice.
Janice R. Fukakusa: Thanks, Morten, and good morning. As Gord mentioned, we reported record third quarter net income of $2.3 billion, which was up $64 million or 3% over last year and up $368 million or 19% compared to the prior quarter. Overall, we had a clean quarter with only a single specified item due to a favorable income tax adjustment of $90 million related to our 2012 tax filings, which impacted our current period results. Excluding this item and items specified in previous periods, as outlined on Slide 17, net income was $2.2 billion, up $236 million or 12% from last year and up $247 million or 13% from last quarter. Briefly touching on capital, in addition to the dividend increase we announced this morning, we have continued to return capital to the shareholders through our normal course issuer bid, repurchasing another 4.7 million common shares at a cost of $280 million during the quarter. As you know, OSFI recently announced the phase-in of the credit valuation adjustment, and we estimate the impact to our CET1 ratio in 2014 to be approximately 30 basis points. Turning to our business segments starting on Slide 11. Personal & Commercial Banking earned a record $1.2 billion, up $78 million or 7% from last year, mainly driven by solid volume growth of 8% across all Canadian Banking businesses and improved credit quality in both our Caribbean and Canadian portfolio. The inclusion of our acquisition of Ally Canada also contributed to the increase. Earnings were up $170 million or 17%, excluding the prior year's mortgage prepayment interest adjustment of $92 million after tax. Compared to the prior quarter, net income was up $123 million or 12% largely due to seasonality, including additional days in the current quarter and volume growth across most of our businesses in Canada. Turning to our Canadian Banking business. Net interest margin in Canadian Banking was up 9 basis points from last quarter, mainly due to the fair value purchase price accounting adjustment of 3 basis points related to Ally Canada and the reversal of the impact of accounting volatility, which we highlighted last quarter. Factoring out these impacts, margins remained relatively steady at 2.72% despite the impact of a prolonged low interest rate environment and competitive pressures. Our efficiency ratio was 44.5% on a reported basis this quarter. After adjusting for the impact of Ally, our efficiency ratio was 44.2%, an improvement of 60 basis points from the prior year as we continue to benefit from our cost management initiative. Our operating leverage was 1.5% after adjusting for the impact of the Ally Canada acquisition and last year's favorable mortgage prepayment interest adjustment. Looking ahead, while our expense growth this quarter excluded the -- excluding the Ally Canada acquisition was higher than previous quarters, this was largely due to increased costs in support of business growth, as well as a higher pension expense, reflecting a lower discount rate. While continuing to invest in our businesses to improve productivity and efficiency, we will limit the rate of growth of expenses through our strong cost management program. Despite the slow growth in interest rate environment, we expect to continue to drive our efficiency ratio lower and generate positive operating leverage. Turning to Wealth Management on Slide 12. Net income was a record $236 million, up $80 million or 51% from last year, mainly due to higher average fee-based client assets, resulting from net sales and capital appreciation. Improved transaction volumes also contributed to the growth. Excluding the prior year's unfavorable impact of $21 million after tax related to certain regulatory and legal matters, earnings were up $59 million or 33%. Sequentially, net income was up $11 million or 5%. As mentioned, PCL of $10 million was incurred, reflecting a provision on a single account. Moving to Insurance on Slide 13. Net income of $160 million was down $19 million or 11% from last year, as the prior year benefited from a favorable adjustment of $24 million after tax related to changes we made in our proprietary distribution channel. Higher earnings from a new U.K. annuity contract this quarter were mostly offset by higher claims cost, including net claims of $10 million, after tax, related to severe weather conditions experienced in Alberta and Ontario. Compared to the prior quarter, net income was down $6 million or 4%. Turning to Investor & Treasury Services on Slide 14. Earnings were $104 million this quarter, up $53 million compared to a year ago, primarily due to improved business performance in Investor Services, including higher revenue and continued benefits from our ongoing focus on cost management activities. Incremental earnings from our additional 50% ownership of Investor Services also contributed to the increase. Excluding last year's loss of $11 million after tax related to the acquisition of RBC Dexia, net income was up $42 million. Compared to last quarter, earnings were up $37 million or 55%, largely driven by stronger securities lending, which benefited from a stronger-than-anticipated European dividend season and continuing benefits from our ongoing focus on cost management activities. Excluding a restructuring charge of $31 million after tax in the prior quarter related to the integration of RBC Dexia, net income increased $6 million or 6%. Lower funding and liquidity revenue provided a partial offset across both periods. Turning to Capital Markets on Slide 15. Net income of $388 million was down $41 million or 10% from last year. As Gord discussed, our results were impacted by lower fixed income trading revenue and lower investment banking activities this quarter. Compared to last year -- last quarter, net income was flat. As Gord mentioned, on a year-to-date basis, Capital Markets has earned over $1.2 billion, which is up almost 6% compared to the same period last year. Overall, we are pleased with our solid performance this quarter and our strong capital position, and we believe we are well positioned to continue delivering earnings growth even in a slower growth environment. With respect to our taxes, in addition to the specified item noted this quarter, we had our annual release of provisions due to another statute-barred year similar to the release in Q3 of last year, so there is no impact year-over-year. Our effective tax rate going forward is in the range of 21% to 23%, and for Capital Markets, has been reduced by approximately 5 percentage points to around a 35% run rate. At this point, I'll turn the call over to the operator to begin questions and answers. [Operator Instructions] Operator?
Operator: [Operator Instructions] Our first question is from Robert Sedran from CIBC.
Robert Sedran - CIBC World Markets Inc., Research Division: Just on the -- Janice, you mentioned on the net interest margin, and I guess on Slide 19, it shows it that excluding some of the noise in the quarter, the margin was up basically 1 basis point. Can you give us a sense for what earnings would have been in the segment without those items, or is it more just a classification issue rather than an actual revenue issue?
Janice R. Fukakusa: It is a revenue issue because our NIMs impact our spreads. But if you look at the actual sizing of the Ally purchase accounting adjustments, it's sized. I think it's sized in our disclosure, and I think it's about -- the actual difference is about $18 million of adjustment. And remember, there's that purchase accounting adjustment will continue as the loans pull back to par. So a portion of that is a quarter catch-up, and then a portion is going to be still there as an explanation for the NIM. The reversal of the prior quarter accounting volatility, I think last quarter we sized it at about 2 basis points. So the reversal of that would imply that the net quarter-over-quarter change is about 4 basis points.
Robert Sedran - CIBC World Markets Inc., Research Division: So a little larger than the $18 million then, on that item? Like there's -- sorry, I mean about 4 basis points swing, that will about like $22 million or $23 million?
Janice R. Fukakusa: Yes, they're about the same, yes, because of the $18 million, yes.
Robert Sedran - CIBC World Markets Inc., Research Division: But I guess what you're saying is that the fair value purchase accounting from Ally, that's -- I mean it's an explaining item, but it's not really an adjusting item because it's going to continue.
Janice R. Fukakusa: A portion of it will continue. Remember, we did a catch-up adjustment for one quarter. So if we had booked it in Q2, the adjustment would be less this quarter. But yes, it's the straight purchase accounting adjustment.
David I. McKay: Maybe I'll make a comment about the Ally. Robert, the operating results you see out of Ally, up $28 million, is close to the run rate that we talked about when we made the acquisition of $30 million. So despite the onetime gains on the revenue side and the NIM impact, they were offset by costs and expenses and integration pretty equal, equally. So when you get down to $30 million, the revenue was offset by cost. And you're seeing a pretty close to true operating run rate there.
Robert Sedran - CIBC World Markets Inc., Research Division: So, Dave, you're saying as the integration expenses run off, you're still comfortable with the $30-odd million that you originally suggested?
David I. McKay: That's exactly my point, yes.
Operator: Our next question is from John Reucassel from BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: Just while you have the floor, David, just want to ask, or Janice, there is some volatility in this NIM, but what is the outlook there? And you talked about reducing the efficiency ratio here. I guess given that it's a tougher revenue environment, is that mainly coming out of cost? Or Dave, can you just update us on how that's going to work?
David I. McKay: Yes, certainly. As we look at our efficiency ratio at 44.2%, we're battling a couple of headwinds to move it down, but we're still committed to the low 40s. We did envision the impact of the low-rate environment, one on revenues of our business, obviously, when we started this journey; and two, the increased cost in our pension from the lower discount rate. So they both put a drag on where we thought we'd be. Having said that, we're still pursuing a number of programs with the implementation of our retail credit transformation program later this year looking at optimizing our network. We're still on a journey where we're confident we're going to get there, albeit it's a bit slower pace than we thought, largely attributable to the low-rate environment. So we're on the right path, and we see our way forward.
John Reucassel - BMO Capital Markets Canada: Okay. So just, so the pension expense, do you expect that to continue to drag next year? And then just on the net interest margins, could you -- it looks like you're comfortable with them being stable, I guess looking through all the...
David I. McKay: I guess the guidance that I have given over the last many quarters is slightly down 1 or 2 basis points quarter-over-quarter on the NIM side. I think the biggest pressure we've seen on NIM is the lower rate environment, particularly in our core checking business and our core deposit business. That's starting to alleviate year-over-year. Now, the pressure that's building, obviously, is on the pricing side, particularly in Commercial Markets. We'll have pressures. It's tough to predict exactly where NIMs are going to go, obviously. But I would still expect slight reductions as we talked about in the past despite the increase we've had this quarter. Holding it to slightly down is probably where we'll be.
Gordon M. Nixon: The reversal will come though in the pension expense if interest rates go up because the discount rate will go up. So there will be a positive adjustment if we ever get higher interest rates.
John Reucassel - BMO Capital Markets Canada: Okay, but you are still for -- pension adjustments going forward, is that kind of what you see if rates stay where they are?
Janice R. Fukakusa: If loan rates stay with where they are, then there won't be a major impact year-over-year. It'll be slightly a higher expense. What we're seeing though is, as you know, long rates are moving up slightly, so that will have an impact on pension. With respect to the pension expense, John, we actually size it at the end of the fiscal year for the year. So that's the critical period to look at in terms of rate.
Operator: Our next question is from Stefan Nedialkov from Citigroup.
Stefan R. Nedialkov - Citigroup Inc, Research Division: It's Stefan from Citigroup. I just had a question on the effectiveness of hedges, especially in the trading book. Given that rates on the long end rose a fair amount, both in May and June, I was just wondering if you can give us some color on how satisfied you are with the effectiveness of your hedging program within the trading book. And has that met your expectations? Has it underperformed or outperformed versus where you thought you would be? And will you change anything going forward?
Mark A. Standish: Okay, thanks, Stefan. It's Mark Standish. Obviously, for the quarter we experience very different results by region. Our business in Canada on the trading side actually had quite a strong quarter. If I back out an OIS adjustment related to derivatives, they still had quite a decent gain relative to Q2 and was slightly lower than Q3 last year. London had a quite a decent pickup in performance as well. So that really brings the question to what occurred in the U.S. What we had in the U.S. was a very significant asset repricing. To add to Gord's comments, it actually started in late May when the Fed hinted at a reduction of the purchase program. And then on June 19, Chairman Bernanke put that into a time frame as early as the end of 2013. So that really accelerated what had started at the end of May in terms of a sell-off in basically all long-dated, non-federally government guaranteed fixed-income products. So that would be long-dated corporate paper, municipal paper and non-agency mortgage-backed securities. Quite frankly, the only good hedge in that environment is just to not have inventory. If you look at the municipal market, long-dated, high-grade municipals declined twice as much as long-dated U.S. government securities. The outflows in the municipal market were quite extreme. We had a 3- to 5-day sell-off period that, quite frankly, is the worst that we've seen in 30 years. So if you were hedging with Treasuries, obviously, it would have been completely ineffectual. We were very aggressive in how we managed our inventory, and I'm very happy with that. Unfortunately, what happened for us was we have a disproportionately large municipal business relative to the rest of our business. We have a number #5 ranking in the U.S. municipal space. It's a very strong business for us. And a couple of days prior to Chairman Bernanke's announcement that the -- in June, we had participated a number of large underwritings. So from that point in time, we were very active in managing our inventory. Given the sell-off and the redemptions in mutual funds, we were very active in supporting our clients. Hedging didn't really factor into that because the best hedge is to just to manage your inventory down. So very difficult period in the U.S. for the trading books. We've had that asset repricing now. Supporting clients is an important part of building an origination business. So all things considered, we're quite happy with how we came through this period.
Operator: [Operator Instructions] Our next question is from Michael Goldberg of Desjardins Securities.
Michael Goldberg - Desjardins Securities Inc., Research Division: How did you limit the impact of storms in Alberta and Ontario? And why are you comfortable with your Ontario auto reserves given the high level of claims brought in the market?
M. George Lewis: Thanks, Michael. It's George Lewis here. I think in terms of the weather events related to both Alberta and Toronto just to give you a perspective on that, our total claims actually are close to $50 million through both of those events. But through reinsurance arrangements that we have in place that limit our exposure to a single event and a cumulative event, we were able to mitigate the impact of that on our results down to a little over $10 million after tax. So good arrangements in place by the business team there that allowed us to serve our clients through a challenging period while limiting the volatility on our results. In terms of the Ontario auto insurance market, we regularly look at our reserves in that business and are very satisfied with the level. We strengthened them through the piece here, and so we don't anticipate any significant onetime adjustment for that.
Operator: Our next question is from Gabriel Dechaine from Credit Suisse.
Gabriel Dechaine - Crédit Suisse AG, Research Division: Actually two-pronged for Dave. Just can you walk me through what was driving that net, I guess, 4 basis point improvement in the NIM in your business? And then on the credit cards, I'm just wondering, as things have turned out a little bit different than maybe we would have expected, what's the -- what's your strategy from here on out over the next year or so for this market share gain opportunity? Are you thinking more offense or maybe a bit more defense than you had before? What kind of expenses do you expect to incur to market your -- to new customers and defend existing ones?
David I. McKay: Thanks, Gabriel, and I'll start with your second question. Certainly, we see a market opportunity that's been widely discussed in the newspaper publicly. Any time a customer is reevaluating their products and services it presents a unique opportunity. And given the scale of which that will happen over the next 6 to 12 months, obviously, we sit here and look at the opportunity. With the #1 product in the travel segment in Avion, we are very confident that we'll be able to present strong value propositions to Canadians who are looking to reevaluate that decision. So we sit here with a very, very strong product that has some strategic advantages to it. One, because we've won our premium card segment as a cost operation, as far as the delivering the points versus the competitors we go against have to run theirs as a for profit, we're able to deliver consistent superior value through that card. So we have a structural advantage in how we run that product. So we sit here with a very, very strong product structural advantages, and we have every intention of presenting those benefits to consumers over the coming years. So I'm not going to disclose exactly how much we're going to spend. Obviously, we spend money looking to generate strong ROI for shareholders, and that will be one of the guiding decisions in how much we spend. And as we test various approaches, we'll choose the ones that deliver the best ROI for the shareholder and deliver the value to the customer. As far as the NIM increase, some of it is a reversal of -- as you know, in Q3, when our NIMs -- Q2 when our NIMs went down, there were some onetime accounting adjustments. So if you back out all the noise, our NIMs are up slightly, as we talked about. And some of that is mixed strong card growth that we saw over the quarter. We've been very disciplined about the volumes that we're generating. As you know, we don't participate in the broker mortgage business nor do we, as many banks do, buy wholesale mortgages from third-party originators at very low margins and spreads. So our growth has been through proprietary channels that generate very strong margins for us and has been a consistent margin. So I think those are some of the generic drivers of where we are.
Gabriel Dechaine - Crédit Suisse AG, Research Division: There was no big prepayment income? I'm just kind of a bit surprised with moving rates, people may be refinancing because they see mortgage rates starting to move up. I'm just wondering if that's not a factor in the quarter, or if we've yet to see that?
David I. McKay: No, certainly, there's some volatility in the commitment pipeline as you talked about. As we make forward rate commitments for up to 120 days as a market practice. We hedge a number of those commitments, protecting margin. So we hedge forward at a known cost, and we price accordingly. So we've got a -- experience in managing in a volatile interest rate environment where swaps are moving around. And you're seeing just the teams working and managing that volatility.
Operator: Our next question is from John Aiken from Barclays.
John Aiken - Barclays Capital, Research Division: In regards to the restructuring that took place in Capital Markets within Europe, can we expect any meaningful charge in future quarters? And will this actually have any meaningful impact on the bottom line for this segment either positively or negatively?
Mark A. Standish: Thanks, John. Firstly, in terms of inventory and charge, we historically ran about $5 billion of inventory to support our EGB business. We had exited all of that inventory prior to the announcement. So there is no impact there. This, basically, was a move that we took after a fairly extensive evaluation of our business in Europe, where we've been focused on identifying products where we really can be best in class in terms of what we offer to our clients. So this decision was really a product-driven decision. It wasn't regional or driven by sovereign exposures. Going forward, we remain still very committed to origination in Europe, primarily in the SSA space and also in the corporate space, and then obviously, on the other side on investing clients. It's a business that, historically, the market has felt that you have to be involved in to do other things. We don't think that's the case and we have seen, by exiting this business, a continuation of business on the origination side, and we continue to win mandates both corporate and SSAs since the announcement of the exit.
Operator: Our next question is from John Reucassel from BMO Capital Markets.
John Reucassel - BMO Capital Markets Canada: Okay, I think it's the first time I've been able to ask 2 questions. Just, Mark, just could you explain -- I know you talked the muni market was down in the U.S., but the Asia was down also. Is there anything unusual in Asia that was going other than what we've seen in -- elsewhere, or is that just a reflection of the markets?
Mark A. Standish: No, I think that's just a reflection of the market, John. I mean, I think if you look at certainly some of the earnings that came out of the U.S. and European players, they typically saw a pickup in equity trading volumes in Asia. We don't have that business. So we didn't see that pick-up. And on the fixed income side, we really view Asia very much as a strong local trading and distribution hub and really an extension of our origination efforts in North America and Europe. So the impact was quite muted for us out there. It really was dealing with issues in the U.S.
John Reucassel - BMO Capital Markets Canada: Yes. But so you're still building out the Asia platform?
Mark A. Standish: Yes. We have, as I said, a strong distribution hub in Hong Kong, and we've been focused on our business in Sydney. Maybe, Doug, you want to comment on that?
A. Douglas McGregor: Well, I think what we're trying to do is -- as Stan said, we're in Hong Kong. We're using that trading platform to distribute securities we originate elsewhere. And we are considering now whether or not we want to strengthen some of our trading activities in Australia.
John Reucassel - BMO Capital Markets Canada: Okay. And then I guess last question for Gord. Gord, a divvy increase, a little bit of a different buyback activity outlook. But is your acquisition appetite changed or the outlook for acquisitions, could you just update it on your outlook there, and what you would be looking for?
Gordon M. Nixon: Yes, thanks, John. It really has not changed. As you've heard me say many times, I think that we try to strike a good balance between capital repatriation through buybacks and dividend increases and investing directly in our businesses and acquisitions. And as you know, we've been doing all 3. I would love to continue to put more capital into our existing businesses, but there is a limitation. With respect to acquisitions, we continue to focus on the areas that we talked about in the past. Our global Wealth Management business continues to be very active. And some of our other businesses are looking at alternative investment opportunities that give us an outlet for capital. But we're continuing to be extremely disciplined to ensure that the return from dollars that we invest are appropriate, and that's a real challenge when you have a 20% ROE business. I mean you can do the math as easily as we do, but it's a challenge to make investments that are as attractive as putting the capital back in your existing businesses. Having said that, we would obviously take lower investment thresholds than 20%, but we're still being extremely disciplined to make sure that if we do deploy capital through acquisition, that it is very consistent with both our strategies and our return thresholds and objectives. So we're still very active, but cautious at the same time.
Operator: That is all the time we have for today. I will now turn the call back over to Mr. Nixon for closing remarks.
Gordon M. Nixon: Yes. Well, again I'd like to thank everyone for their participation. We are ending, I guess, a little early. I know you've got a conference call with CIBC in 10 minutes, but we appreciate you attending our call. And we look forward to our discussions next quarter. So thank you very much.
Operator: Thank you. The conference call has now ended. Please disconnect your lines at this time, and we thank you for your participation.